Operator: Thank you for standing by, and welcome to the 2U, Inc. Fourth Quarter 2023 Earnings Call. I would now like to welcome Steve Virostek, Senior Vice President of Investor Relations to begin the call. Steve, over to you.
Stephen Virostek: Thank you, Mandeep, and good afternoon, everyone. Welcome to 2U's fourth quarter 2023 earnings conference call. Joining me on the call this afternoon are Paul Lalljie, Chief Executive Officer; and Matt Norden, Chief Financial Officer. We will share our prepared remarks and follow it by questions. But first, I'd like to cover a few housekeeping items. Our earnings press release and slide presentation are available on the Investor Relations website, and a replay of this webcast will be made available later today. Commentary made on this call will include forward-looking statements regarding our financial and operating results, plans and objectives of management for future operations, including our performance improvement initiatives plans and ability to refinance our debt, anticipated trends for learners and university partners, changes in laws, regulations and agency guidance for our industry and other matters. These statements are subject to risks, uncertainties and assumptions. Any forward-looking statements made on this call reflect our analysis as of today, and we have no plans or duty to update them. Please refer to the earnings press release and the risk factors described in the documents filed with the Securities and Exchange Commission, including our annual report on Form 10-K for the year ended December 31, 2022, and other SEC filings. For information on risks, uncertainties and assumptions that may cause our actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of 2U's performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results, in our earnings press release and on the Investor Relations page of our website. With that, let me hand the call to Paul.
Paul Lalljie: Thank you, Steve, and good afternoon, everyone. I step into the CEO role with immense pride and a sense of profound responsibility. Over the past four years, I've been privileged to witness firsthand how we impact lives with the educational offerings we power. Now it's time to sharpen our focus on fundamentals to develop financial resilience while continuing to deliver on our mission. In the last two months, I've delved into the intricacies of 2U viewing our operations through a new lens and with a broader remit, identifying our strengths and recognizing opportunities for further improvement. Today, I will share some of my observations acknowledging that we are in the early stages of this journey. 2U has a distinctive leadership position in the education sector, backed by a robust network of university partners expansive global reach and the team whose industry acumen is unmatched. The top line growth that we've enjoyed in the past has been no fluke. We have consistently worked to ensure alignment between market needs and our offerings. Now we need to focus on refining our business model to ensure we are not just delivering the most in-demand offerings but doing so efficiently. My immediate focus has been to strengthen bonds with our internal team and external partners, engaging in meaningful conversations to set a new course and move to execute it quickly. We've embraced transparency and accountability, delineating our business into two distinct lines with each dedicated leadership to ensure full accountability. But before I get into the details, the most important thing we want you to hear from us today is that we know we need to improve our performance and to do it quickly. We must increase our EBITDA margin in order to generate stronger cash flows. This will support our plan to extend our debt maturities in the short term and achieve our long-term goal of profitable revenue growth. Therefore, we need to adopt a shrink-to-grow mindset and take the necessary measures to date, to set ourselves up for success long term. We started 2024 with a clear sense of our objectives, which I'll walk you through today. But before we talk about where we're going, let's first look at how we got here. In 2023, we took some initial steps to reduce cost and to make our marketing strategies more efficient. Throughout the year, these improvements resulted in $90 million of savings on a run rate basis. We also introduced four new lower-price degree offerings, reimagine our content delivery process for further efficiency and added some key members to our management team. These actions are crucial for our future success. In addition to these accomplishments, 2023 provided many takeaways that should inform our path forward. While it's not helpful to Monday morning quarterback, I believe our organizational structure and strategic alignment will allow us to respond more quickly to market demands going forward. And I want to reiterate that our approach to growth will not compromise our profitability. We're committed to making the best strategic decisions for the business and will practice radical transparency in explaining these decisions and their impact on the business. We won't dwell in the past. We will carry forward our strengths but recognize that change is necessary at this juncture. As my leadership team has heard me say repeatedly, we'll be doing a lot of things differently. Now for a discussion of where we're going. We plan to focus on three areas: product, cash and organization to drive profitable growth, increase EBITDA margins and cash flows and shift towards a more cost-efficient model. I'll now add some color to each of these areas, starting with product. We have refined our approach to selecting degree programs by adopting a more rigorous criteria that prioritizes profitability and aligns with the proven strengths of our marketing and operational strategies. As a result, we are revising our launch cadence to 60 programs for 2024. For new degrees that we expect to sign in 2024 and the launch in 2025, we are focusing on licensure and STEM verticals. Our new framework is designed to ensure chosen programs embody the essential characteristics of success, including competitive pricing, strong organic appeal and minimal capital requirements. All of which should result in strong contribution margins and cash flows. This focus will enhance our overall portfolio and aligns with our commitment to deliver high quality and market relevant education. For alternative credentials, we plan to improve the delivery model with a focus on efficiency. We will consider adding a asynchronous and non-cohort-based learning options to give learners the flexibility they desire. We will align program start dates and content creation cadence to leverage resources more effectively. We believe these efforts will drive efficiency in the business and help us expand our reach. Next, cash. We will continue to prioritize marketing effectiveness. Our first step was to set and maintain high hurdle rates for paid marketing. Now we will work on utilizing AI and automation to increase the number of leads generated and ultimately converted. Progress will be measured by an increase in conversion rates across key marketing channels. We have also identified several areas for potential improvement. For example, in light of the new organizational structure, we will review all functions to eliminate redundant costs and will automate repeatable back-office processes and consider outsourcing or offshoring where appropriate. Our operational improvements will be geared towards reducing fixed costs, ensuring flexibility and scalability. We believe these efforts will result in a business that can consistently generate sufficient cash to fund operations and will support the discussions with our lenders to reach a resolution on extending our debt maturities. Moving on to organization. At an organizational level, we now have a structure that reflects our focus on alignment, accountability and efficiency. There are eight business leaders who report to me, including a head of marketing, two lines of business heads, a head of technology and three G&A function leads. Our aim is to foster strategic alignment across the company guided by a culture of curiosity. We'll rely on objective data to make decisions, prioritize high-caliber talent and embrace radical transparency. Our strategy based on these three objectives, will help us pursue a shrink to grow approach in the short term and with a clear vision of the future of the company. It is important to note that the initiatives we are discussing today are just the beginning. We will continue to evolve and develop our plan for the long term over the coming months. Before I turn things over to Matt, I want to briefly discuss our results for the year. Our revenue for 2023 was approximately $946 million with an adjusted EBITDA of around $170 million. It is worth noting that $88 million of this revenue came from exiting certain degree programs or portfolio management. We do not expect to have additional portfolio management activities in 2024. We are optimistic about our degree business and expect enrollment to grow this year by single digits looking at the current portfolio. We also expect that our 2024 launches will generate up to $100 million in revenue at steady state, which is between 2.5 to 3.5 years from launch. We expect our executive education business to continue its strong growth while we will continue to manage the coding boot camp business reflect the current demand levels. We anticipate that coating boot camp environment will continue to remain in its current state throughout 2024. Furthermore, we expect our enterprise business, which includes both executive education and boot camps to continue its strong growth. However, it is a lumpy business, and we are setting realistic expectations at the outset of the year. To summarize, I'd like to emphasize the important points we discussed today. We are committed to facing our current challenges head on. We're taking bold steps to reduce expenses and improve our performance quickly. in order to extend our debt maturity as soon as possible. To all of our stakeholders, partners, employees, equity holders and debt holders, we're embarking on a 12-quarter journey to reset and enhance our operations. And we need your support in this journey. We are committed to earning that support quickly, and I believe that we will become a stronger company. With that, let me turn the call over to Matt.
Matthew Norden: Thanks, Paul, and good afternoon, everyone. Before walking through the results, I'd like to say how honored I am to step into Paul's shoes to lead the world-class finance team that he built. And to work with Paul and the entire team even more closely on making 2U the resilient and sustainable company we know it can be. While we have a lot to do ahead of us, I'm confident that the operating plan that Paul mentioned, which is rapidly progressing, will set us up to fix the balance sheet and deliver profitable growth in the future. With that, let's get started. I'll begin by walking through our fourth quarter and [Audio Gap]
Operator: We are experiencing technical difficulties and will resume momentarily. Audios back. I just want to confirm speakers.
Paul Lalljie: Yes.
Matthew Norden: Where did we drop?
Operator: Roughly about 15 to 20 seconds just as you're beginning your...
Matthew Norden: Apparently, we were having some technical difficulties, so I'm going to start over. Apologies if this is duplicative for anybody. Thanks, Paul, and good afternoon, everyone. Before walking through the results, I'd like to say how honored I am to step into Paul's shoes to lead the world-class finance team that he built and to work with Paul and the entire team even more closely on making 2U the resilient and sustainable company that we know it can be. While we have a lot to do ahead of us. I'm confident that the operating plan that Paul mentioned, which is rapidly progressing, will set us up to fix the balance sheet and deliver profitable growth in the future. With that, let's get started. I'll begin by walking through our fourth quarter and 2023 full year results. Then I'll discuss our outlook for 2024, along with some key assumptions underlying our expectations. Starting with revenue. In Q4, we generated total revenue of $255.7 million, up 8% from $236 million a year ago. This increase was driven by 19% growth in the degree segment, partially offset by a 7% decline in off cred. The growth in the degree segment included $54.6 million of revenue recognized from portfolio management activities in the quarter. Note that this is approximately $25 million less than we expected at the time of our Q3 call as we decided not to move forward with certain portfolio management opportunities given that we were able to make the necessary course corrections in those programs while continuing to run them. Alt Cred revenue in the fourth quarter was impacted by similar factors to those we experienced in the third quarter, continued softness in boot camps, particularly coding, and we saw continued strength in our exec ad offerings driven by particularly strong performance in our AI offerings, a trend that has continued into 2024. Looking at the full year, revenue was $946 million, a 2% decline from $963.1 million in 2022. Of this, degree segment revenue of $561 million decreased $10.6 million or 2% when compared with the prior year and included $88 million of portfolio management related revenue. In 2023, our portfolio management activities introduced complexities when comparing year-over-year performance within our degree segment. To gain a better perspective on the segment's performance, we recommend evaluating the segment excluding the impact of portfolio management. This analysis reveals that our current portfolio of programs generated $389.9 million in revenue, which is a 9% decrease compared to the full year of 2022. The primary factor behind this decline is a high number of graduates from some of our larger programs that were launched during the pandemic, which surpassed the number of new student enrollments in these programs. However, as I'll discuss more when we get into our outlook, we are observing positive trends in key leading indicators, especially in new student enrollments. We anticipate these trends to start positively impacting our revenue in the latter part of this year and continue into 2025. Alt Cred segment revenue of $384.9 million decreased $6.6 million for the year or 2% over 2022, driven by similar factors that we saw in Q3. Moving on to operating expenses. In 2023, we took initial steps towards optimizing our cost structure, focusing our marketing activities on more efficient spend and eliminating $90 million of run rate costs. You'll see the impact of these actions in our results. Operating expense for the fourth quarter, excluding a $62.8 million noncash impairment charge was $215.4 million, a 7% decrease over Q4 of 2022. This decrease was primarily driven by a $27.2 million decrease in personnel and personnel-related expense, which included a $13.8 million decrease in stock compensation expense. We also saw continued improvement in our marketing and sales expense for the fourth quarter. As a percent of revenue, marketing and sales declined to 31% from 34% in the prior year period. During the quarter, we also recorded $13.7 million in restructuring charges. Regarding the impairment charge, as a result of our stock price performance in the quarter and refinement of our long-term financial projections, we determined that an interim impairment assessment was necessary. This evaluation led to a $62.8 million reduction of goodwill. For the full year, operating expense, excluding noncash impairment charges, was $974.9 million, a decrease of $108.1 million or 10% over 2022. Turning now to our profitability measures. Net loss for the quarter totaled $42.4 million compared to $11.8 million in the fourth quarter of 2022, reflecting the revenue and operating expense drivers I mentioned previously. Adjusted EBITDA for the quarter increased 54% and to $90.2 million, a margin of 35%. This was largely driven by the same factors that I mentioned earlier. Portfolio management revenue of $54.6 million, flowing mostly to the bottom line and the benefit of our cost optimization activities executed throughout the year. Fourth quarter adjusted EBITDA also benefited from the seasonal decline in marketing spend, which is a typical pattern for our business. Net loss for the year totaled $317.6 million compared to $322.2 million in 2022. And adjusted EBITDA for the year was $170.8 million, an improvement of 37% over 2022. Looking at profitability by segment. Degree segment adjusted EBITDA was $90.7 million for the quarter, a margin of 56% and compared to a margin of 44% in the fourth quarter of 2022. For the Alt Cred segment, adjusted EBITDA loss was $553,000 compared with a loss of $2.1 million in the fourth quarter of 2022. For the full year, degree segment adjusted EBITDA was $214.7 million, a margin of 38% compared to a margin of 32% in 2022. For the Alt Cred segment, adjusted EBITDA loss was $43.9 million compared with a loss of $55.6 million in 2022. Now let's turn to the balance sheet and cash flow statement. We ended the year with cash and cash equivalents of $73.4 million, including a $40 million drawdown of our revolver, which was needed to manage fluctuations in working capital. We delivered adjusted unlevered free cash flow of $45.2 million for the 12 months ending December 31, 2023, compared to $31.9 million for the 12 months ending September 30, 2023. From a liquidity standpoint, I want to highlight that in late January, we entered into a receivables factoring arrangement to sell up to $86.2 million of receivables related to our portfolio management activities. We have already sold $75.9 million of these receivables for proceeds of $66.7 million. We have also kicked off working capital improvement initiatives to further enhance liquidity. When combined with the approximately $73.4 million we had in cash on hand at the end of Q4, these actions should put us in a strong liquidity position to operate the business going forward. Before I discuss our outlook, as you may have seen in our press release today, we expect to have a going concern qualification in our upcoming 10-K due to potential and pending maturities of our term loan. We expect to continue to have a constructive dialogue with our lenders to find the best solution to position 2U for the long term. Also, we are in active discussions with our term loan lenders to reduce our recurring revenue covenant in exchange for paying down a portion of the term loan. We expect to enter into an amendment to our credit agreement reflecting these changes in the coming weeks. And I want to reiterate that we are taking aggressive action to optimize cash and enhance liquidity. We are laser-focused on addressing our balance sheet and are confident that we can resolve our debt maturities in the near term. We look forward to providing updates as appropriate. Now turning to our financial outlook. Please note that we are adjusting our guidance practices to give guidance for the first quarter and full year 2024. Our guidance for the first quarter calls for revenue to range from $195 million to $198 million. For the year, we expect revenue to range from $805 million to $815 million. We expect adjusted EBITDA for the first quarter to range from $10 million to $12 million and from $120 million to $125 million for the year. I now want to provide some insight into the assumptions underlying our outlook, the composition and pace of the business and ongoing trends in the education industry. This should help you better understand how we're viewing the future and our go-forward plan. First, at this time, our outlook does not take into account the impact of the operating plan that Paul mentioned, which is rapidly progressing. Early in 2024 and building on the initial actions we took last year, as Paul mentioned, we began digging into our business to identify areas for cost optimization and operational improvement across the board. That process is still underway, and we expect to have a fulsome plan ready to implement early in the second quarter. Our guidance could change materially depending upon the outcome of that plan but again, it's not included in what we've shared today. Second, to help you bridge our first quarter and full year guidance. We expect Alt Cred revenue to be more heavily weighted towards the back half of the year with a larger number of exec had courses occurring later in the year and enterprise deals executed in the first half of the year, delivering revenue later in the year. On the degree side, I wanted to quickly remind you of the typical economics of the segment. Most of the revenue in a given period will come from marketing dollars spent seven to 12 months prior and new programs typically contribute very little revenue in their early operating quarters. Given that dynamic and given that most of our revenue from the degree segment this year will come from existing programs, at this time, we have visibility into well over 50% of revenue for the year. But on top of that, 39 of the new programs we expect to launch in 2024, our takeovers from another provider with students currently enrolled. As a result, we have better visibility into the revenue impact these programs will have once students enroll later in the year. All this gives us confidence in the degree segment's trajectory for the year. It's also important to keep in mind these degree segment dynamics when thinking about our Q1 EBITDA expectations, which at the midpoint of our current ranges reflects an EBITDA margin of around 6%. Given that our expected new degree launches are back-end weighted in the year, we have already begun spending marketing dollars to find students for these programs with adjusted EBITDA in Q1. More specifically, we expect to spend $23 million on new program launches in 2024 with $5 million of that coming in Q1, but with no corresponding revenue. However, we expect to get the revenue and EBITDA benefits from those students later in 2024 and more so into 2025. Also, Q1 is typically our highest quarter from a marketing spend standpoint, as we spend to find students for already operating programs. 1/3 of our annual marketing expense is typically incurred in the first quarter of the year. This also impacts EBITDA in Q1, again, with an expected increase in revenue and EBITDA as students' progress through their classes throughout the year. We also expect the cost optimization activities completed and currently underway, have an increasing benefit as we proceed throughout the year. We expect that all of this will cause EBITDA to increase throughout the year, with approximately 70% of our full year EBITDA generated in the second half of the year. Finally, our 2024 full year expectations are underpinned by a mixed shift in our business. For the first time, we expect Alt Cred revenue to comprise around half of our consolidated revenue. On the Alt Cred side, we expect this to be driven by continued growth in our executive ed offerings and the enterprise channel, partially offset by continued declines in boot camps. On the degree side, we expect 2024 revenue to be largely driven by the trends we have discussed on this call. The 2024 revenue does not tell the full story of the degree segment. When you look at the current portfolio, excluding programs we no longer operate. We anticipate total enrollments in these programs to increase approximately 3% year-over-year, and we expect new enrollments in these programs to increase approximately 11% year-over-year. And as is typical in the degree segment, we expect these enrollments to only modestly impact revenue in 2024, with expected revenue growth of the current portfolio, just over 1% due largely to much of the enrollment being back-end weighted in the year. But importantly, based on these trends and the 60 new programs we expect to launch in 2024, we do expect to see increasing growth in 2025 and thereafter. To be clear, we believe that what we're seeing in the degree segment is not unique to or disproportionately impacting 2U. It is indicative of larger trends in the industry. While fewer students are learning online today than during the height of the pandemic, there are more students taking classes online now than pre-pandemic in 2019. As discussed earlier, that's why the current degree portfolio declined 9% year-over-year as the pandemic enrollment rolled off. But if you compare the degree portfolio today to 2019, you'll see that FCEs grew approximately 21%. Overall, we think that demand for online education is beginning to improve and the key leading indicators we're seeing corroborate that story. To conclude, we are laser-focused on taking action to position the company for long-term success. We are approaching the future with renewed financial discipline to build an even stronger business that will thrive well into the future and deliver value to all of our stakeholders. And with that, let me hand the call back to the operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Ryan MacDonald with Needham. Please go ahead.
Ryan MacDonald: Hi, thanks for taking my questions. Paul, I appreciate the focus on product organization and cash and sort of the outlined strategy. I appreciate the color there. As we think about these new initiatives and then sort of the focus that you're sort of in the process of evaluating with the business. I know it's not included in the guidance, but how should we think about the potential timeline for sort of these changes to start to have an impact on the profitability? And can you speak at all to what you think the potential magnitude of -- or quantification of what level of cost savings can be generated from some of these newer initiatives? Thanks.
Paul Lalljie: Hi Ryan, that was pretty choppy on our end. Let us give us a minute to talk to the operator here to see what's going on. We're not - we had trouble hearing you. Apologies.
Ryan MacDonald: Okay.
Operator: Our first question comes from the line of Ryan MacDonald with Needham. Please go ahead.
Paul Lalljie: Operator, please hold on. We can't hear you.
Operator: Ladies and gentlemen, we are currently experiencing technical difficulties and will resume momentarily.
Paul Lalljie: Yes, Ryan are you there?
Ryan MacDonald: I'm here, can you hear me?
Paul Lalljie: Yes. Could you repeat the question for us, we apologize for that. We had to dial in again to get a good connection.
Ryan MacDonald: Yes. No, worries at all. Yes. So Paul, I can appreciate the sort of the increased focus here on product organization and cash. And I appreciate some of the new initiatives that you're sort of evaluating and kind of going through right now. And while I understand it's not included sort of in the guidance. I was hoping you could maybe give us a sense of maybe the time frame for which some of these initiatives could kind of come to fruition and start to kind of have benefits on generating more cash profitability. And to the extent as you're evaluating it now can you quantify at all at this point, what maybe some of these changes can do in terms of generating more EBITDA and cash flow. Thanks.
Paul Lalljie: All right. Thank you, Ryan. So a couple of things. First and foremost, our path forward is a shrink to grow strategy. I think we have to focus on how do we deliver all of our offerings more efficiently, whether it is from a launch perspective, whether it is from an alternative credential, the way we provide synchronous and asynchronous offering. The way we offer somewhat of an automated and more efficient service the student from an entire life cycle perspective. So that is first and foremost from a product point of view. But I think underlying all of this is the organizational structure. We've delineated the organization into two lines of business where we have full responsibilities. Andrew Hermalyn, leading the degree business and Aaron McCullough leading the alternative credential business. And that provides the appropriate focus that allows us to use objective data to let us drive decisions across the business in a more efficient manner. It allows us to respond quicker to market changes, and it allows us to focus on that student journey in a more customized fashion for each of the businesses. When we think of what we're doing on the student side of the equation, we're looking at it from a pre-enrollment perspective, where we can add software or technology to that pre-enrollment process and from a post-enrollment process to ensure that we are increasing conversion to ensure that we're using technology to provide a better service. and at the same time, maintain or improve the completion rates that we're very proud of. We have industry-leading completion rates. What does all of this mean at the end of the day? When we align the organization, it means that we will find redundancies and costs, and we will be able to automate some of the repeatable processes that we have. The way we're viewing this is that over the next probably a month or two, we'll be able to have a very good plan that we can then execute against. The way -- the journey for me is that it's a 12-quarter journey that we're trying to focus on where we want to be able to reset in the first few quarters. And then be able to deliver against that as we get into the middle of that plan. Quantifying this, putting a size to it is not something that I think would be responsible at this point in time. But at the end of the day, we believe it can materially change the plan that we have, the guidance that we're providing today, for example. And it will be something that can -- at the end of the day, it's a step back a little bit. We need to shrink to grow so that we can support the balance sheet that we have, so that we can be in a position to negotiate and extend the maturities - the upcoming maturities that we have and to ensure that we have a financially resilient company going forward. By the time we get to the next quarter, we should be able to provide more details and context on that. Matt, I don't know if I missed anything that you would add to that.
Matthew Norden: No, I think that's generally right. When I think about the plan, there's certainly some more low-hanging fruit and then there's certainly some longer-term items that are going to take a bit more time to implement and realize the benefit of, right? We've already implemented $90 million of cost savings in 2023, and we'll get the full benefit of those as we progress through 2024. I think I mentioned working capital initiatives in my script, and we've kicked off a lot of that already. So for example, that's obviously managing receivables and payables in an efficient way but we're also taking a hard look at all third-party spend across the board, both labor and nonlabor with an eye towards what's really critical to the business based on where we want to go. And so I think some of those shorter putts you'll see in the results in the much closer term, whereas some of the longer-term initiatives will take time to flow through.
Ryan MacDonald: Makes sense. I appreciate the color there. Maybe just a follow-up. Obviously, you're taking steps to sort of share up the balance sheet and sort of improved liquidity. But you mentioned the going concern. Just curious like as you're trying to balance sort of near-term needs for sort of longer-term sustainability. Can you talk about sort of how you're sort of messaging this with clients in your university partners to sort of ensure sort of stability across the portfolio longer term and sort of how you're working with them despite the going concern?
Matthew Norden: Yes. We have great relationships with our partners, Andrew Hermalyn, the new President of Degree, who I think you know, he is in frequent contact with them, and they understand what the going concern means for us. And I think at a high level, we reiterate our relatively strong liquidity position, right, given not only $73.4 million in cash at the end of Q4. But also the receivables factoring that we just engaged in. Those items along with the working capital initiatives we have underway really give us strong foundation to operate the business going forward and most importantly to them, to give them the level of services and quality that they've come to expect from us.
Ryan MacDonald: Thanks for taking my questions.
Operator: Our next question comes from the line of George Tong with Goldman Sachs. Please go ahead.
George Tong: You talked about undertaking comprehensive performance improvement actions, including some cost control actions. Can you elaborate a little bit more on some of these cost controls? Where would you expect them to come out of? And how much in savings would you expect these actions to generate?
Paul Lalljie: Yes. So George, a couple of obvious things. When we refer to our shrink to grow strategy, if we look at the launch cadence that we had for 2024, we were expecting to launch 80 programs this year. I think as we sit here today, we've signed 81. Andrew 81 programs. But we are choosing to launch 60 of those programs in calendar year 2024. As we look across the organization, we are looking at places that we can use technology to help us to be more efficient. We're looking at third-party spend. We're looking at organizations, partners who can help us to be more efficient, whether it is helping in some of our marketing processes, some of our technology processes. So at the end of the day, we took a comprehensive look at all of our offerings, and we're looking at them from a very fundamental perspective. We're looking at gross margins or contribution margins, revenue less the cost to acquire that revenue. And we are making sure that we have the appropriate hurdle rates. We're making sure we're doing that efficiently. And then we're looking at the back end of that. We're looking at the cost to deliver that service and how do we deliver that service. But at the end of the day, some very low-hanging fruits, we talked about the launches, those 60 launches will deliver at least $100 million at steady state at 2.5 to 3.5 years from date of launch. We have cheaper ways of launching offerings particularly with a third-party partner that we're partnering with for those launches on content development. We're looking at ways to automate and improve our - if you think of the leads that we get, we have an extremely awesome marketplace, right? When you think of ed ex. But at the end of the day, while we get - we see large volumes, how do we increase conversion on those volumes? And I think Michael Kurbjeweit and his team, and we've got some really smart people in our marketing team. But how can we help automate some of those processes to make it more efficient. And so those are three or four areas, George, that I think can yield material contribution in the near term if we do them right, and do them quickly.
George Tong: Got it. That's helpful. You also mentioned working with lenders to extend your debt maturities. Based on your conversations, what targets do your lenders want to see you achieve in order to successfully negotiate and extend those maturities?
Matthew Norden: Hi George, this is Matt. Yes, so we can't really get into detail around specific conversations with lenders. But I would say that we've always had a constructive relationship with our lenders and an open and ongoing dialogue. And they are keenly awaiting the operating plan that we've discussed on this call, at which point we'll engage in further or more detailed discussions or negotiations with them. So I think to give any more detail around targets or expectations wouldn't be prudent at this time.
George Tong: Got it. Thank you
Operator: [Operator Instructions] Our next question comes from the line of Josh Baer with Morgan Stanley. Please go ahead.
Josh Baer: Great. Thanks for the question. And congrats on the new roles. Wanted to clarify a couple of things as far as the organization bucket and cost savings and what's new versus what has previously been discussed. So when talking about the new organizational structure, are you making incremental changes or more referring to some of the announcements around the C-suite changes earlier, I guess, in November and then the leadership hires and the structural changes in early January? Or is there anything new?
Paul Lalljie: So this is Paul here. A couple of things. The $90 million that we referred to refers to the events that we had in the October time frame. And then in late January, December '23, early January, some of the organizational refinements that we put in place. Both of those resulted in two activities. One was probably $50 million, one was $40 million, and that's the $90 million that we expect on a run rate basis as we get into the back half of this year, we'll start to see those benefits as we go forward. I mean as we continue and look at our offerings and look at our delivery methodologies, we will continue to refine the organization, eliminate redundancies. And as we look at how do we optimize one of the things we talked about is how do we look at the cadence of some of our alternative credential offerings. Whether it's start times, whether it is content and see how we can bring those together. So as to benefit from resources in a more timely fashion. So those are a couple of them. But to answer your question very specifically, it's the January events and the October events that makes up the $90 million, and we will continue to have some more refinements in the organization as we go through the year.
Josh Baer: Okay. That's clear. Thanks. And then you mentioned there are a couple or some degree programs that you actually did not go through with the termination. What was the profile of some of those degree programs that you thought you wanted to terminate but are still running? And what were the changes that you made to make them, I guess, more profitable?
Matthew Norden: Yes. So we can touch on this at a high level. So one thing we've said with respect to portfolio management is there are a number of reasons why we might begin discussions with a partner around portfolio management. One would be high debt to earnings, for example. We've been trying to shift our portfolio to lower cost offerings that have better debt to earnings measures. And so one example is we've been able to work with some of our partners to explain the impact to them and to us of higher tuition and what lower tuition means both for the financial results of the program, but also for that student outcomes. And they've been amenable to working with us to...
Josh Baer: I think we lost you.
Operator: Ladies and gentlemen, we are experiencing technical difficulties and will resume momentarily.
Matthew Norden: I'm on the backup phone here. Can you hear us?
Josh Baer: Yes, I'm not sure.
Paul Lalljie: What happened to the main line. We were just talking?
Operator: We are able to hear you, sir. If you could please continue.
Matthew Norden: Sure. I think our main line went out again. So my apologies, yet again, Josh, I don't know how much you heard, but again, I'll start from the beginning. So when thinking about portfolio management, right? I think it was our Q3 call or the prior call, we highlighted some of the reasons we might engage in portfolio management. One of which was programs with a high debt to earnings ratio, right? We've been trying to focus the portfolio and steer the portfolio really more towards programs that are lower cost that have a much better debt-to-earnings ratio. And some of the programs that I mentioned on the call, we've been able to have those discussions with the partners, and they were willing to align their tuition around really what we thought and what they ended up thinking made sense from a debt to earnings standpoint, so that it works for both sides.
Josh Baer: Got it. And then last - I'm sorry, was there more or...
Matthew Norden: No, I was just about to say, hopefully, you could hear that.
Josh Baer: Yes. No, loud and clear. Last question with the discussion on kind of the new organization and having the dedicated segment leaders. Just wanted to ask if the purpose of those changes and highlighting those changes is look like we're going to this is what's needed to make better, quicker decisions and ultimately drive the profitability that we need? Or is there any element of it that like look, we can run these segments separately and to kind of have that idea out there that they don't need to be run or together under the same roof?
Paul Lalljie: So Josh, this is Paul here. Look, at the end of the day, focus is 90% of success. We need to make sure that we have full accountability across the organization. And with Andrew and Aaron leading these organization, they'll be accountable for these businesses. From a top line all the way through to the bottom line. At the end of the day, one of the reasons why we love the portfolio that we have, the assets that we have is because we have a marketing organization that still runs on a horizontal perspective, so that you can do things like portfolio-based marketing so that you can allocate resources, meaning marketing dollars across multiple channels. And if we think of what's going on in the alternative credential business, for example, coding has been a headwind for us. But if you think of coding as a search term, it is -- there is still tremendous demand for coding. Coding boot camp may not have the same level of demand. So what we were able to do there is to pivot very easily into our courses that are AI related or coding related, and we can benefit from those demand because those are our executive ed type courses. We can do those things with the level of autonomy with one person being accountable for the Alternative Credential segment versus having them together in one organization and allocating resources across multiple segments versus just within one segment. So at the end of the day, it is a different way of running the business. It's not that one is good or one is bad. We believe that this one is the most efficient way to do this to date, given the resources that we have given the demand environment that we're in and given our maniacal focus on delivering profitable growth into the future.
Operator: Our next question comes from the line of [Steven Pawlak] with Baird. Please go ahead.
Unidentified Analyst: Thank you. This is Steven Pawlak on for Jeff. Can you quantify what the reductions or cash receipts are from the programs that you decided to move forward with that were originally sort of a candidate for portfolio management actions. And then you talked about the new enrollments within guidance. Just any qualitative metrics that you can provide as far as kind of what you're seeing, whether from a demand or conversion perspective that gives you confidence?
Paul Lalljie: Yes. So let me start off and Matt will jump in on the enrollment piece of this here. But in our last - I think it was Q3 call, we were expecting I think it was $49 million in the fourth quarter from portfolio management, which we did not have in this quarter. So said differently, the 945 full year numbers excludes portfolio management in the fourth quarter. And it also - the EBITDA number of 170 was achieved despite not having that approximately $40 million of portfolio management revenue.
Matthew Norden: Yes. And from an enrollment standpoint, it really is what we said in the script. That current portfolio we're seeing new enrollment increase year-over-year, you're looking at 2024 by about 11%. And that's really driven by a lot of the key leading indicators we've mentioned on prior calls. So I think, right, I think last quarter, we talked about submit volume increasing. And we've continued to see that in the fourth quarter with submit volumes - the number of applications, submissions up 12% period-over-period. And that's a key leading indicator to enrollment, which, as everybody knows, is that a key leading indicator to revenue. So really across the board, across all the key leading indicators they're trending in the right direction.
Paul Lalljie: And Matt, probably the most important thing is here. This is not a conversation that is based on leading indicators that we expect. The degree business has a unique sales cycle, which Matt described eloquently in his script. But basically, we are seeing the things that are occurring right now in the degree business, 50% of revenue in 2024 is now visible to us, and we'll start to see our fall cycle as we go through the next few months.
Unidentified Analyst: Appreciate the color. Thank you.
Operator: I would now like to turn the call over to Steve Virostek for closing remarks.
Stephen Virostek: I just want to thank everybody for joining us on today's earnings call. If you have follow-up questions, please call me or email at Investor Relations. Thanks so much.
Operator: This concludes today's call. You may now disconnect.